Operator: Good day, and welcome to the Enviva Partners First Quarter 2020 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the call over to Ray Kaszuba, Treasurer. Please go ahead.
Raymond Kaszuba: Thank you. Good morning, and welcome to the Enviva Partners, LP first quarter 2020 financial results conference call. We appreciate your interest in Enviva Partners, and thank you for participating today. On this morning's call, we have John Keppler, Chairman and CEO; and Shai Even, Chief Financial Officer. Our agenda will be for John and Shai to discuss our financial results released yesterday and provide an update on our current business outlook. Then we will open up the phone lines for questions. Before we get started, a few housekeeping items. During the course of our remarks and the subsequent Q&A session, we will be making some forward-looking statements, which are subject to a variety of risks. Information concerning the risks and uncertainties that could cause our actual results to differ materially from those in our forward-looking statements can be found in our earnings release issued yesterday in the IR section of our website as well as in our most recent 10-K and other filings with the SEC. We assume no obligation to update any forward-looking statements to reflect new or changed events or circumstances. In addition to presenting our financial results in accordance with GAAP, we will also be discussing adjusted EBITDA and certain other non-GAAP measures pertaining to completed fiscal periods as well as our forecast. Information concerning the reconciliations of these non-GAAP measures to the most directly comparable GAAP measures and other relevant disclosures are included in our press release issued yesterday. I would now like to turn it over to John.
John Keppler: Thank you, Ray. Good morning, everyone, and thanks for joining us today. I'd like to start today's call by thanking all of my Enviva colleagues for maintaining our focus on safety as our top priority, which is not easy given all the current challenges of the coronavirus pandemic. As the spread of COVID-19 increased, we have adapted to new ways of working. We have enhanced our plans and procedures and taken measures to mitigate the risk of exposure to COVID-19 and to make our work environment as safe as possible for our continued operations. Following guidance by the CDC, we’ve implemented rigorous cleaning and safety protocols, change in work schedules and meeting formats to de-densify our workspaces and maintain appropriate social distancing. We’ve eliminated travel for all of our essential functions and encouraged telework to the extent feasible and staggered work were not. We are restricting access at our plants and terminals. We are checking the health of anyone who crosses our gates and we are changing the way people interact and work together on site to keep our people healthy. The people at Enviva are approving a remarkably resilient budget, giving it all every day and I am proud to say it has been working. While the COVID-19 pandemic has caused broad economic impact and major disruptions across the globe, at Enviva, thanks to the hard work of our teams and the good, safe, professional and personal decisions they are making, we have again demonstrated the durability of our business and reported strong results. As I hope you saw in our earnings release and 10-Q filed yesterday, for the first quarter, which is usually our most seasonally challenging quarter, we reported adjusted EBITDA that’s 35% higher than the first quarter of last year and more than 1 million metric tons of wood pellets sold. Despite the backdrop, our plants kept running, our terminals kept loading, and our ships kept sailing. Most importantly, our people are healthy. As you know, our business is built on supplying fuel to our customers under long-term fixed price and fixed volume take-or-pay off-take contracts. In times like this, the product we supply, which is used to fuel system-critical baseload, dispatchable power and heat generation facilities becomes even more important for our customers and their communities as they navigate through their own pandemic responses. There are a few substitutes or alternatives to our product. Our customers are essential businesses in their own jurisdictions and they are continuing to run stably, safely and reliably. As a result, we are not experiencing or expecting customer payments delays and our cash conversion cycle remain short. Our liquidity is robust and our balance sheet is strong. As we've described in the past, together with our sponsor, we operated portfolio of eight wood pellet production plants, geographically dispersed in areas with low population density across the Southeastern United States. We export our product from our portfolio of four bulk terminals and transport it to our customers under long-term, fixed-price shipping contracts with multiple shipping partners. In the United States, government-issued guidance identifies biomass and the broader forest products industry which comprises our supply chain as essential to continued critical infrastructure viability, and this guidance has been followed by states where our plants and terminals are located, allowing our facilities to continue to operate safely. Although the current COVID-19 environment remains fluid and uncertain, we have not experienced disruptions in our operations or supply chain and we have contingency and business continuity plans in place, we believe would mitigates the impact of potential business disruptions. As a result, we posted operating and financial performance in line with our pre-COVID expectations for the first quarter. Combined with our confidence and our ability to maintain stable and growing cash flows, our Board approved an increase in our distribution to $0.68 per unit, our 19th consecutive distribution increase, and reaffirmed our full-year adjusted EBITDA, distributable cash flow and per unit distribution guidance. Shai will now discuss our financial results in more detail, and then I will take some time to provide an update on the long-term market drivers and development activities taking place at the partnership and our sponsor, which I would note are also largely unaffected by COVID-19 thus far.
Shai Even: Thank you, John. For the first quarter of 2020, net revenue was $204.5 million, representing an increase of 29.1% or $46.1 million over the corresponding quarter of 2019. Product sales revenue was $197.9 million as compared to product sales revenue of $156.6 million for the first quarter of 2019. For the quarter, we sold approximately 1 million metric tons of wood pellets as compared to pellet sales of about 843,000 metric tons in the first quarter of 2019. Gross margin was $27.3 million for the first quarter of 2020 as compared to gross margin of $9.9 million for the corresponding period of 2019. Adjusted gross margin was $33.3 million for the first quarter of 2020 as compared to $27.6 million for the first quarter of 2019. Adjusted gross margin per metric ton was $33.15 for the first quarter of 2020 as compared to $32.73 for the first quarter of 2019. The increases in adjusted gross margin and metric tons was principally due to higher sales volume, which resulted in a greater fixed cost absorption and lower average costs per metric ton. Net income for the first quarter of 2020 was $7.6 million as compared to net loss of $8.9 million for the first quarter of 2019. Adjusted net income was $9.1 million for the first quarter of 2020 as compared to adjusted net loss of $8.1 million for the first quarter of 2019. For the first quarter of 2020, the partnership generated adjusted EBITDA of $29.2 million as compared to $21.6 million for the first quarter of 2019. The increase in adjusted EBITDA was primarily driven by higher sales volume. Distributable cash flow, prior to any distributions attributable to incentive distribution rights paid to our general partner, was $18.6 million, which results in a first quarter 2020 distribution coverage ratio of 0.66x. At the end of the first quarter, we had approximately $5.3 million of cash on hand with only $70 million drawn under our $350 million revolving credit facility. With the solid first quarter financial results and the resilience of our business, the partnership reaffirms our previously provided guidance for the full-year 2020 adjusted EBITDA to be in the range of $165 million to $175 million and distributable cash flow to be in the range of $119 million to $129 million, prior to any distributions attributable to incentive distribution rights paid to our general partner. Based on these expectations, the partnership also reaffirmed our prior guidance to distribute between $2.87 and $2.97 per common unit for full-year 2020. The guidance amounts do not include the impact of any acquisitions or dropdowns. As we have said in the past, seasonality and the mix and timing of customer shipments can impact results, which may vary from quarter-to-quarter. We expect 2020 to look a lot like previous years, including 2019, where the back half was a significant step-up from the first half. As we have described previously, our Board evaluates our distribution and coverage on an annual basis.  We have remained largely unaffected by the impact of COVID-19 pandemic on the global economy and capital markets due to our strong liquidity position and the durable cash flow generated by our long-term off-take contracts with fixed pricing and fixed volumes, which ensure that they do not expose our business to volatility in the price of crude oil, natural gas, or other energy commodities. As a result, we believe we will be able to maintain our conservative financial policies and balanced capital structure, including a leverage ratio target of 3.5x to 4x and a 50-50 equity/debt split for dropdowns, acquisitions and major expansion and a distribution coverage ratio of 1.2x on a forward-looking annual basis. Now I would like to turn it back to John.
John Keppler: Thanks, Shai. The long-term growth of our business continues to be driven by the global commitment to phase out coal, limit the impact of climate change, and cut greenhouse gas emissions. Even as governments around the world are currently focused on fighting the impact of COVID-19, the global community has not lost sight of the need to continue on the path to achieve net-zero emissions by 2050. In fact, in early March, the European Commission presented the proposed European Climate Law exactly as expected when the Green Deal was announced in December of last year. European Climate Law calls for the 2050 net-zero target to become legally binding and addresses the pathway to achieve it.  More recently, in early April, climate and environmental ministers from 13 European countries, including key markets like Germany, Denmark, and the Netherlands, called on the European Commission to use the European Green Deal as a framework for integrating the green transition into a comprehensive European recovery plan for COVID-19. Shortly after that, 180 political decision-makers, business leaders, trade unions, NGOs, think tanks and other stakeholders, led by the Chairman of the Environment Committee at the European Parliament, formed a European alliance for a Green Recovery. The Alliance calls for investment packages that would accelerate the transition towards climate neutrality and healthy ecosystems as Europe prepares to rebuild its economy coming out of the COVID-19 pandemic. Given the continued support for the green transition and renewable energy, we believe that the partnership and the sponsors’ off-take contract books, which now stand at a combined weighted-average remaining term of 13.9 years and a revenue backlog of $19.2 billion will continue to grow. As previously announced, our sponsor’s 18-year, take-or-pay off-take contract to supply Sumitomo Forestry, a major Japanese trading house, is now firm, as all conditions precedent have been satisfied notably during the COVID-19 crises. Despite the pandemic, contracting continues to move forward as we and our sponsor are progressing the negotiation of off-take contracts in Asia and in Europe. Despite the impact of COVID-19, development and construction projects also remain on track. The expansions of our Northampton and Southampton production plants are expected to begin ramping in the second and third quarters, respectively. Our sponsor remains on track to develop, construct and expand additional production in terminal capacity, including the Lucedale plant, the Pascagoula terminal, the Epes plant, and the currently operating Greenwood plant. By design, we expect to have the opportunity to acquire these assets and associated off-take contracts from our sponsor. Through that growth, we and our sponsor remain focused on ensuring that our business activities support the best outcomes for people, forests, and the environment. Sustainability is core to our value proposition. And last week, we celebrated the 50th anniversary of Earth Day. This year [indiscernible] Earth Day was climate action, which for us is what we do every day by displacing coal, growing more trees and fighting climate change. Last week, our sponsor also issued its 2020 plans under our global Responsible Sourcing Policy, which set forth new initiatives to continue to deliver on our commitment to transparency, forest conservation and sustainable practices of wood sourcing. This year the plans include increasing certification of our network of private forest landowners, enhancing longleaf pine restoration and wildlife habitat and conservation of bottomland hardwood forests. We also committed to issue our first Corporate Sustainability Report describing how we deliver on our company's mission, our current environmental impact and sustainability practices, and our goals for continuous improvement over the long-term. As we conclude today's call, I'd like to look back for a moment. As many of you may know, yesterday we celebrated the five-year anniversary of our IPO and I'd like to thank our Investors and Board of Directors for their continued support. As part of that initial offering, I had the pleasure of meeting a broad investor base. Many of them remain current unitholders and are on the call today. The business I described then is what I believe we have delivered. We are a business built to weather mini storms. We remain insulated by design from volatility and fossil fuel prices or volumes, and the long-term fixed price, take-or-pay nature of our off-take contracts, ensures that we have contracted cash flow visibility long into the future. Our job is to continue to perform. And as the world remains focused on fighting COVID-19, we've continued to do just that, delivering essential fuel to support our grid-critical customers. We've continued to demonstrate solid operational and financial results in an extremely challenging environment and once again prove the durability of our business model. Our first quarter financial results reported a 35% increase in adjusted EBITDA from the first quarter of last year, and we announced our 19th consecutive distribution increase and increased every quarter since our IPO. As a result, we remain well on our way to achieving our full-year guidance of adjusted EBITDA of $165 million to $175 million and a full-year distribution per unit between $2.87 and $2.97. With a combined contract backlog, $19 billion and a strong balance sheet, we are also well positioned to more than double 2019 adjusted EBITDA over just the next few years. That's consistent with the growth profile we articulated at IPO, and one, we're eager to continue to deliver against. The coronavirus pandemic isn't yet behind us and our progress wouldn't be possible without the great people at Enviva and the support of the communities in which we operate. I'm very proud of my colleagues’ hard work and their continued dedication in the face of COVID-19. We're also proud to be giving back and helping to make a difference with food, supplies and resources to those in our communities who need the most. I'm privileged to be a part of a company with a strong business model, safe stable operations and colleagues who will continue to make sure we can deliver on the promises we have made well into the future. Thank you. Operator, can you please open the line for questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] First question comes from Brian Maquire from Goldman Sachs. Please go ahead.
Derrick Laton: Hey, good morning. It’s Derrick Laton on for Brian.
John Keppler: Hey. Good morning, Derrick.
Derrick Laton: Good morning. Hope you all are staying safe and healthy. Appreciate taking my questions.
John Keppler: Of course.
Derrick Laton: Yes, just thinking about the margin profile in the first quarter, you had strong volumes, nice growth there, and you highlighted the operating leverage from those volumes. Pricing growth is also pretty strong. Just trying to get an understanding around maybe what's holding back the margin expansion. I think it was flat year-over-year in the first quarter, and maybe if there's any details that you could provide around the margin expansion and the potential growth ahead?
Shai Even: Thanks for the question, Derrick. As we said, the first quarter of 2020 was a strong quarter with a stronger production, kind of like a meet our expectation for the quarter consistent with the guidance for the year. We can say that during the first quarter, we experienced – from a weather perspective, we experienced a mild weather condition compared to the same quarter of 2019 and we experienced a reduction in wood fiber cost during the first quarter of 2020 as compared to the first quarter of 2019. On produced tons basis, our sales are composed of produced tons and procured tons from third parties. On a produced tons basis, our margin was about $39 per metric ton. And this quarter we had – a little bit over 20% of our sales came from procured pellets from third parties, which is kind of a consistent with our plan for the first quarter.
Operator: The next question comes from Ryan Levine from Citi. Please go ahead.
Ryan Levine: Good morning.
John Keppler: Hey Ryan, how are you?
Ryan Levine: Good. How are you?
John Keppler: Good.
Ryan Levine: Can you comment on the lower electric load forecast impact globally on pellet demand in your business?
John Keppler: Sure. As you're well aware, we sell to our customers under long-term fixed price and fixed volume deliveries. So from an overall contracted profile as we articulated in our prepared remarks, the long-term contracted revenue backlog for the business combined of both the sponsor and the partnership is a little bit north of $19 billion, and we certainly don't see any erosion of that because of the overall contract structure. What I would say is, when you look at the overall generation mix across many of our jurisdictions, we've actually seen biomass tick-up a fair bit in it's percentage of the overall generation mix. Some of that is because our customers are [indiscernible] back to back into take-or-pay obligations either for the provision of electricity or heat or operate under structures like the contract for differences or like RWE announced earlier this week are fairly well hedged against the overall profile. And so we feel like we mentioned earlier, fairly well insulated both from a contracted position and a growth profile because so many of our customers and the decisions that they're making about either converting existing coal-fired assets or building in the case of Japan, new FIT or other biomass facilities are themselves contracted on a futures basis against both volume and price.
Ryan Levine: Just to follow-up on that, can you remind us what percentage of your volumes are well contracted are subject to some type of volumetric decision by the customer as to how much tons they take? The customers…
John Keppler: No, they're all fixed volume. They're all fixed obligations.
Ryan Levine: Okay. And then in terms of the impact on distillate – diesel costs on customer parts spreads, I mean are you seeing any meaningful movement in customer economics in this environment?
John Keppler: Again, we can rely on the mechanisms and the observable statements from either their hedge positions or the contract structures that they themselves are exposed to. So in the case of our Japanese customers, most of them are operating under an FIT, feed-in tariff of roughly 24 yen per kilowatt hour. And in the case of our European counterparts, you've got folks like the CFD, and then you've got their own other customers with their own back to backs to either municipalities or their downstream energy consumers.
Ryan Levine: And then what's your current expectation for drops or equity issuance this year? Is it reasonable to assume that everything's deferred given the state of the capital markets?
John Keppler: I certainly wouldn't characterize it that way, Ryan. I look at the underlying nature of our business and the economics as they exist from the plant development economics up at the sponsor. None of those things have changed. The contract position hasn't changed. And we look at certainly at the capital markets, while we're mindful of the volatility and certainly what we've seen in the capital markets so far this year, our bonds have continued to perform extremely well and our equity seems to be in a decent spot. We maintained a tremendous amount of flexibility about how and when we can undertake these drops. And historically, we've had a very supportive sponsor. None of those things have changed. We executed drops at unit prices that were well below this and drove a high degree of accretion. We don't see that abating.
Ryan Levine: Okay. And then last question for me. Has there been any slowdown in customer conversations for new contracting activity or any impact from the recent pandemic?
John Keppler: So as I mentioned in our remarks earlier, we continued to be in direct contract dialogue with customers, both in Asia and in Europe. Our teams are flipping contracts, move things forward. And although, I think it would be foolish to say that there won't be any impact. Our customers continue to aggressively move forward. As you can see from the broader perspective on the importance of climate change, you've got folks in Germany right now who are again seeking to open the economy. You may have seen Angela Merkel's comments yesterday, really reinforcing that you can't take your foot off the gas on favorably influencing climate change. And her remarks are quite important to thinking about how we see the long-term markets continue to evolve. Germany endorsing the 50% to 55% CO2 reductions for 2030, big step up with Germany assuming the EU presidency coming in July. We feel very, very strong about the opportunities that will continue to present themselves both near-term and long-term.
Ryan Levine: Great. Thank you.
John Keppler: Thanks Ryan.
Operator: The next question comes from Pavel Molchanov from Raymond James. Please go ahead.
Pavel Molchanov: Thanks for taking the question. So we obviously talked a lot about the economic disruption that COVID has created everywhere. Historically, pellets have been priced as essentially coal plus environmental credits and including carbon credits, and of course, the price of those in Europe has fallen off a cliff for obvious reasons. Is that an issue kind of vis-à-vis your business from a big picture standpoint?
John Keppler: The mechanisms that various governments and customer participants themselves around the world think about in terms of the overall pricing, in our perspective and what we've experienced in the customer negotiations is not as much a function of where they see carbon pricing or some of those pieces. It's really much more about the ability to continue to generate dispatchable baseload power as a fundamental renewable compliment to the intermittency of solar and wind. And so the pricing of that is really around the aggregate system costs associated with maintaining grid stability as well as the dispatchability of both power and heat against that intermittency. And nothing that we've seen from a customer contract pricing would suggest that that is pulling back. In fact, as we talked about the most recent execution and conversion of a contingent contract is one of our highest price contracts that we've ever executed. So we continue to see pricing increase, we continue to see tenders extend, and given the long-term contracted nature of our business that puts us – feeling at least confident about the opportunities going forward.
Pavel Molchanov: Okay. And one more question kind of from a coal angle. Obviously in both North America and Europe, we've seen coal plant retirements for all kinds of reasons throughout the past decade. Do you anticipate the current fall off in power demand is shutting down more coal plants on kind of permanent basis beyond what utilities have generally anticipated three months ago?
John Keppler: Well, I think Pavel, we've got a long road ahead of us here. And I think from our business, we take a 20 – at least a 20-year outlook because that's the tender of many of our agreements. And so as we have done historically, their preponderance of our demand, we expect will continue to come from both Europe and Asia. And in Europe, I mean, we talked about Germany a moment ago and Poland similarly, The Netherlands, Denmark, the ability for these nations to recycle that coal infrastructure that has been system-critical for both power and heat, we see as essential. Now absolutely the German government is actively working through its coal phase-out and having completed some of the initial work on the lignite pieces and now that’s been much more focused on the hard coal assets, but it was historically Western Germany. But those assets are very, very difficult to replace their system-critical for power, system-critical for heat. Natural gas is not widely distributed. And so these are assets that need to run. They're just not going to be doing it on coal.
Pavel Molchanov: Understood. Thank you, guys. Well done.
John Keppler: Appreciate it, Pavel. Thank you.
Operator: The next question comes from Brian Maquire from Goldman Sachs. Please go ahead.
Derrick Laton: Hey guys, it's Derrick again. Just had maybe one or two more questions and I apologize if this has already been answered or asked. I think you called out $2.3 million commercial services charge in the quarter and you, I think included a couple of different components in that. Maybe you break that out. Is that more just related to some of the logistical items that you’re working through given maybe some customer requests following the pandemic, and it looks like some of that is included in the rest of the 2020 guide.
Shai Even: Derrick, thanks for the question. So the $2.3 million commercial services is actually associated with what we had described before as optimization activities. So we are helping some of our customers and receiving payments for them for services that we are providing, providing flexibility on delivered volumes or reserving some volumes on deliveries. And in the fourth quarter of 2019, we call it $5.6 million in commercial services, which was at that time we talked about it, that was a non-refundable payment from a customer that received in fourth quarter for sales of services that we provided to them at that time in 2019. None of that is related to COVID-19. So for that sales of services that we received in cash, we at that time, we recorded $1.5 million as a GAAP income and $4.1 million from a GAAP basis [indiscernible] further revenue, but from a non-GAAP at that time, we made an adjustment in 2019 of $4.1 million into our non-GAAP adjustments as we receive a non-refundable payment for services that will fully provide it. And as we said in 2019, so 2020, we're going to reverse that effect, meaning that we are going to book that $4.1 million during the first half of 2020 in our GAAP numbers, but we're going to adjust it out for non-GAAP purposes. So this quarter we adjusted out $2.3 million and we're expecting during the second quarter to adjust the remaining amount for our non-adjusted EBITDA calculation – for an adjusted EBITDA calculation, adjusted out the GAAP income that will book in the second quarter of 2020.
Derrick Laton: Right. Okay. Thank you for that clarification. And then just one more for me. Just looking at the other revenue line and the quarter looks like it’s about the highest, and call it, 2.5 years. Just curious if you could break out maybe the drivers for this? And then how should we think about with those sales coming through? Those typically come through at roughly the corporate margin or maybe a little bit higher than that? And maybe if you could just provide a little bit more details there would be helpful. Thank you.
Shai Even: Yes. So what we said earlier on the call is that during the first quarter we had a little bit higher, which is still consistent with our expectation for the quarter a little bit higher of procured pellets from third parties just a little bit over 20%, still having – we had a very strong production quarter and strong performance during the first quarter of 2020.
Derrick Laton: Great. Thanks very much guys. Take care.
John Keppler: Appreciated. Derrick, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Keppler for any closing remarks.
John Keppler: I'd like to thank everyone again for taking the time to join us today. We are privileged to be in the position that we are in and we believe we have the responsibility to keep that up. I’m looking forward to connecting again next quarter, and in the meantime, please stay safe, please stay healthy. We are all in this together and together we're all going to get through it. We'll talk soon. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.